Operator: Hello, and thank you for standing by. Welcome to SEI Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. I would now like to hand the call over to Bradley Burke, Head of Investor Relations. You may begin.
Bradley Burke: Thank you, and welcome, everyone. We appreciate you joining us today for SEI's fourth quarter 2025 earnings call. On the call, we have Ryan Hicke, SEI's Chief Executive Officer, Sean Denham, Chief Financial Officer and Chief Operating Officer, and members of our executive management team, including Michael Lane, Phil McCabe, Mike Peterson, Sneha Shaw, Sanjay Sharma, and Amy Slawinski. Before we begin, I'd like to point out that our earnings press release and the presentation accompanying today's call can be found under the Investor Relations section of our website at seic.com. This call is being webcast live, and a replay will be available on the Events and webcast page of our website. With that, I'll now turn the call over to Ryan. Ryan?
Ryan Hicke: Thank you, Brad, and good afternoon, everyone. I'm pleased to report that SEI ended the year with an exceptional quarter, capping off one of the strongest years in our 58-year history. Earnings per share totaled $1.38 for the quarter. After accounting for some of the noisier items that Sean will walk through, Q4 represents our highest ever quarterly earnings performance. What's most exciting is that these results were impressively broad-based, driven by revenue growth and margin expansion across almost all business segments. This was a total SEI effort, not driven by a single business or a one-off event. It's a testament to the power of our integrated approach and the relentless from teams across the globe. We also sprinted to the finish line with our sales events posting a total of $44 million, one of our highest ever quarterly results and capping off our strongest year ever for sales events. Notably, private banking delivered a standout performance, posting $28 million in net sales events. As we discussed on our last earnings call, we were confident in the strength of our private banking pipeline. I'm pleased to report that we're doing exactly what we said we would, translating that pipeline into meaningful results. This quarter's success is the result of disciplined execution against the clear strategy. My expectation is that the sales momentum we generated in Q4 will carry into 2026. And it's not just banking. Asset management is building traction, and IMS continues to benefit from structural demand for outsourcing, especially amongst large alternative managers. We've been signaling for several quarters that we're working with some of the largest global alternative asset managers, including first-time outsourcers. And I expect we'll have some meaningful development to announce by the April earnings call. During the quarter, we also achieved a major milestone with the first close of our Stratos partnership. Stratos brings a proven adviser and client-centric model that's a strong cultural fit with SEI. It also gives us deeper insight into the needs of end clients, strengthening our appreciation of how advisers and intermediaries run their businesses. We're already seeing tangible benefits, including greater awareness of SEI across the RIA and broker-dealer channels, and renewed inbound interest in our capabilities. Our focus now is on integrating our technology and investment management strengths into Stratos' platform and continuing to learn from their team as we scale together. This is a long-term strategic partnership, and we're focused on adding value in ways that support rather than disrupt their impressive organic growth. Stepping back from the numbers, it's important to focus on what's driving SEI's success. These outcomes are rooted in deliberate choices and a deep understanding of where our strengths align with the most attractive opportunities in the industry. Specifically, the growing demand for outsourcing, especially from alternative managers, and the continued convergence of public and private markets, as well as the enduring demand for advice from end clients. These themes are intensifying, and we have leaned into these secular tailwinds with intentional investment over the last several years, and these are translating into repeatable performance. For example, we commercialized our private banking professional services data cloud and SaaS offering, strengthening client retention, and unlocking new growth opportunities. We added new leadership and talent across the organization, driving sharper execution, infusing fresh ideas, and increasing accountability. We laid the foundation for our global capability center, which we expect will help us scale operations more efficiently as we continue to grow. And through the Stratos partnership, we expanded our reach in the adviser channel, positioning SEI to capture new flows and deliver greater client value. As we look to 2026, we intend to double down on what's working. We're accelerating investment management product launches in ETFs, SMAs, models, and select alternative products where we have an edge. These launches build on our early traction, including more than $1 billion of net inflows in two ETFs this year for SEI. We're continuing to evolve the operating model of our IMS business, transitioning from fund-by-fund operations to platform-level services, with shared tooling, workflow automation, and data services. So we can onboard and expand with large investment managers more efficiently. We are leveraging automation and AI to lower unit cost and expand access to our solutions, supporting entry into underserved segments while maintaining client experience at scale. For instance, in the fourth quarter, we made a strategic investment in the band, an AI-native operating system for client onboarding. It's a great example of SEI's commitment to creating a more connected, scalable, and intelligent experience across our platforms. And as always, we'll pursue these priorities with discipline, holding ourselves accountable for maximizing the enterprise value of SEI. You've heard us be ultra-transparent for the last several quarters and at our Investor Day about our strategy and how we're running the company differently. The team is in place. Our priorities are clear. And 2026 is about focus and execution on the road map we've laid out together. Against that backdrop, our job in 2026 is actually simple. Go execute. With that, Sean will take us through the quarterly results in more depth. Sean?
Sean Denham: Thank you, Ryan. Starting with slide four. And to reiterate Ryan's commentary, SEI had an outstanding fourth quarter both including and excluding unusual items impacting results, which collectively reduced EPS by approximately $0.08. Those items included $20 million of elevated corporate overhead expense related to severance and M&A fees incurred in the quarter. This was partially offset by a $3 million tax benefit from purchased energy credits and a $3 million revenue accrual true-up benefit captured within IMS. We always have accrual adjustments based on actuals versus estimates, but in the fourth quarter, that adjustment was more pronounced than normal. We also had some items that, while not unusual, did go our way in the quarter. Notably, LSV performance fees that were more than $3 million above the prior year at SEI's share and the $4 million gain on VIEs attributable to the LSV hedge fund seed investment we discussed last quarter. Also, while Stratos formally closed in the fourth quarter, we only own the business for a few weeks, and many of the planned adviser roll-ups were finalized in early January. Given this timing, Stratos' financial impact was not meaningful to fourth quarter results. We will provide a fuller and more substantive update next quarter. On a GAAP basis, EPS increased 16% year over year and 6% sequentially. And excluding unusual items from the current and prior periods, EPS would have been at an all-time record, exceeding the prior record achieved in Q4 of last year. Overall, 2025 represents an excellent year for SEI, with double-digit earnings growth and more than a full percentage point of operating margin expansion. Slide five summarizes performance by business segment. Like Ryan mentioned, strong Q4 performance was broad-based with positive contributions from each business segment, both revenue and operating profit, when measured against both the prior year and prior quarter. Private banking revenue benefited from recent professional services wins, which convert into revenue more quickly than we've historically reported as recurring sales events. Margins also increased due to cost leverage on revenue growth, and the fact that these new professional services wins are overall margin accretive. IMS benefited from a $3 million revenue accrual true-up I mentioned earlier. Even excluding this benefit, revenue and margins increased meaningfully from both the prior year and prior quarter, driven by recent wins coming online and a modest contribution from market appreciation in our traditional business. Our two asset management segments realized sequential growth, which was driven by market appreciation and healthy flows in our advisers business, which offset the impact of client losses in the institutional segment and the continued pressure on mutual fund outflows across the asset management industry. Our integrated cash program is reflected in both the prior year and prior quarter comparison. In the fourth quarter, this program contributed $21 billion to revenue, matching the levels achieved in the prior quarter and prior year. Slide six illustrates our consolidated margin, which as we've discussed with this group before, is something we are increasingly focused on as a management more so than the individual margins achieved in a single business segment, certainly in any given quarter. Consolidated operating margins were weighed down by severance and M&A costs captured in corporate overhead. Excluding these costs, consolidated operating margins significantly increased on both a year-over-year and sequential basis. Turning to sales events on slide seven. Private banking led the quarter with $28 million of net sales. Results were driven by two significant new mandates. In the largest of these, SEI will provide SWP software as a service implementation services, and ongoing enterprise-wide professional services. This represents our second SWP SaaS client, demonstrating the underlying demand for our SaaS delivery model. This engagement began with advisory work on strategy and system design, and the expanded award reflects the client's decision to have SEI manage the full program. This underscores an emerging trend in private banking. We are increasingly partnering with clients in an advisory capacity, which may lead to larger and longer-duration professional services engagements. While we're very pleased with this momentum, I would also remind you that these large engagements can create variability in quarterly sales results, and the fourth quarter represents a strong outcome that should not be extrapolated as a run rate. IMS realized net sales events of $20 million, with just over two-thirds coming from U.S.-based alternative managers and with no single win accounting for a significant percentage of the total. Our adviser segment net add A key highlight was positive flow into SEI managed net events were flattish in Q4. ETFs from off-platform investors. We talked about the strategic opportunity to distribute SEI investment products through third-party models, and the fourth quarter showed encouraging early progress on that initiative, offsetting the continued pressure from mutual fund outflows. Negative institutional segment sales events primarily reflect client losses in the UK. During the quarter, we continued to streamline leadership and reset the cost structure to position this business for improved economics. Turning to our asset performance on slide eight. SEI achieved both AUM and AUA growth both sequentially and year over year. AUA growth of 3% was supported by strong win momentum and to a lesser extent market appreciation. AUM growth of 2% is attributable to market appreciation, which offset modest outflows in the quarter, primarily in the institutional business. With that said, focusing only on AUM growth understates meaningful progress, especially within advisers. Over the past year, we moved further upmarket, increasing the average size of advisers we're winning. And we're beginning to see early success selling the full SEI ecosystem, such as our tax management and overlay capabilities, which drove an additional $2 billion of net new assets on the platform. As a result, advisers delivered their best net inflow year in over a decade, signaling tangible progress behind our upmarket strategy and broader ecosystem approach. LSV assets under management increased 3.5% versus Q3 due to strong underlying fund performance and market appreciation, which offset $3 billion of net outflows in the fourth quarter. Underlying LSV performance remained solid, as evidenced by the $22 million of performance fees in Q4 or $8 million at SEI's share. Turning to capital allocation on slide nine. During the fourth quarter, we repurchased $101 million of shares, bringing full share repurchases to $616 million, representing nearly 6% of total shares outstanding from 2024. We also completed the largest component of the Stratos acquisition entirely with balance sheet cash, ending the year with $400 million of cash and no debt. We remain committed to returning 90% to 100% of free cash flow to shareholders in the form of both dividends and share repurchases. Before concluding, I want to spend a minute talking about our forward expectations. SEI has never provided earnings guidance, and that is a practice we intend to continue. However, there are a handful of items to keep in mind, especially towards the beginning of 2026. Some of these items are normal seasonality. Performance fees from LSV are typically highest in Q4 and lowest in Q1. The first quarter has two fewer days than the fourth quarter. The gains on our LSV investment are unlikely to repeat at Q4 levels. And we implement annual compensation increases effective January 1. Most of this impact is below the line, not operating income. Beyond these lumpier items, we are also advancing the accelerated investments Ryan discussed. We are hiring to support our strong pipeline and major wins across business lines. And we expect depreciation and amortization to step up next quarter due to placing certain large investments into service. We recognize that these investments must be balanced through thoughtful resource reallocation and ongoing cost efficiency efforts. As part of this discipline, we implemented a targeted reduction in force in December, affecting approximately 3% of our global workforce. This action, which drove the severance charges I referenced earlier, reflects our commitment to ensuring that the cost of future-focused investments is supported by a more efficient and scalable operating model. These actions support what we communicated during our Investor Day regarding our goal of long-term double-digit earnings growth and consistent margin expansion. Stepping back, the fourth quarter capped an outstanding year for SEI, one marked by broad-based financial strength, record sales performance, and meaningful strategic progress across the enterprise. As Ryan highlighted, we are excited about the opportunities ahead and believe SEI is exceptionally well-positioned entering 2026. We look forward to building on this progress and continue to deliver long-term value for our clients, employees, and shareholders. With that, operator, please open the line for questions.
Operator: Then wait for your name to be announced. To withdraw your question, please press 11 again. Please stand by while we compile the Q&A roster. Our first question comes from the line of Crispin Love with Piper Sandler. Your line is open.
Crispin Love: Thanks. Good afternoon, everyone. First, more than two-thirds of your sales events came from Alts in the quarter. Can you just give a little more color there? Was that primarily from new wins or expanding relationships with current clients? And then you also made a comment, Ryan, I think early in your comments about momentum in sales and do you expect positive announcements during April earnings or something like that? Is that related to any specific activity so far in 2026 or just good visibility?
Ryan Hicke: So I'll answer the first one or your second one first, Chris. And happy New Year, man. Yes. We like what we see on the sales momentum front, which is consistent with previous quarters, but we thought we would call out because there's been conversations that we talked about last year about some opportunities we have with just some with a couple larger organizations that predominantly have insourced. We make good progress there, so we expect to have some more tangible update on the April earnings call about that. That's specific in the IMS business. I'll kick to Phil on your first question. I believe, Crispin, your question was specifically about two-thirds of the sales events in IMS. Yeah. Just where is that coming from? Is it new wins, is it expanding relationships within your current sales client?
Phil McCabe: Sure. Hi, Chris. This is Phil. I'll start by saying for the quarter, it was about $20 million, normally a little bit seasonably low, in Q4. Nothing was necessarily that notable to call out. It was a combination of new business and cross-sales around the globe. What I'd say is the pipeline's really strong. We're looking forward to a great 2026. And as far as the larger wins are concerned, we're gonna cover that a lot more with the Q1 results. And as Ryan said, we have a great track record with these large enterprise clients moving to outsourcing. And some of these deals are household names, and it's gonna take a lot of work to get them in through the pipeline. So and executed and into the run rate. So a lot of that depends on how much invest capital we get. And we're actively working on defining the magnitude and the scope.
Crispin Love: Great. Thank you, Phil, on that. And then just also on sales events in the quarter, fairly wide gap between the net recurring and nonrecurring. Can you discuss some of the drivers there? Is that due to the professional services aspect that you mentioned, Sean, or anything else to call out?
Ryan Hicke: Absolutely, Chris. But I mean, it's definitely driven by the continued growth of the professional service new strategy that Sanjay has deployed. And I think as we try to call out here, some of these, we believe, have come a more of a repeatable or longer tail element to them, but we continue to characterize them under the one-time professional services kind of banner, if you will. A lot of those are with existing clients and also some new names. But, Sanjay, you wanna expand a little bit on that?
Sanjay Sharma: Yeah. Sure. So if you look at the professional services, you could look at in two different buckets. And now services which we are providing before even the client they're engaging with us through SWP for our platforms. So we have started engaging with our prospects and clients way earlier. In advisory capacity. And that is a reflection of our fourth quarter results as well. The second part is that since we are engaging at that early stages, we are able to influence the overall strategy. We are able to define that north star for the clients in terms of, okay, how their overall technology landscape is going to change how their operating model is going to change, and then we are participating in that journey, how that the trial transformation can make happen. And that's the reflection of our of the overall professional services strategy. And that is reflected in our fourth quarter results.
Ryan Hicke: And I think what's really important, Crispin, is from a value proposition perspective, we're really seeing a distinct transition in the market. When you look at Phil's market, where we historically maybe have been characterized as ops for the fund, we have really evolved more into a platform for the firm from our clients' perspective. And Sanjay's business maybe traditionally was investment processing and technology for the fiduciary business, they're now being seen more as a technology and platform partner in the C-suite of these organizations. We're really excited about the expansion, not just of our sales capabilities, but the expansion of SEI's footprint in the mind of the buyer and the client in these organizations with these changes.
Crispin Love: Great. Thank you. Appreciate that, and I appreciate taking my questions.
Operator: Please stand by for our next question. Our next question comes from the line of Alex Bond with KBW. Your line is open.
Natalie Nall: Hi. This is Natalie Nall on for Alex Bond, and thank you for taking my question. On the Private Bank segment, the margin there stepped up sequentially on a stronger sales quarter, but thinking about the margin in the context of professional services offering, can the margin for the segment maybe stay in the high teens range on the back stronger professional services? Or is the step up this quarter somewhat episodic we should anticipate a return closer to the mid-teens? Near term with upside potential if professional services sales are strong.
Phil McCabe: Yeah. So thanks for your question. I think if you look over the last probably, eight quarters or so, you've seen steady increase in the margins in PV. We would expect margins to be in that area. They've been choppy over the last couple quarters. Sometimes they're a little lower. Sometimes they go a little higher depending on the mix. How much professional service is in there. Professional services margins typically are higher than our platform. The SWP services and our operating revenue as well. So you know, we don't really give too much guidance around future margins, but I think you can expect it to be within spitting distance of that range.
Natalie Nall: Okay. Perfect. And maybe if you could also provide any color on the larger two mandate wins called out for the private bank segment.
Sanjay Sharma: Yes. Sure. I can talk about that. This is Sanjay here. So as I mentioned that now we are engaging with our prospects and as early as before even they're issuing RFPs sometimes. And in that process, we are helping them to define their overall transformation agenda. And then we are helping them to how to achieve that. So with these two, prospects, we started working almost eighteen plus months ago. And in that process, we engaged with them in advisory capacity, created the overall blueprint for transformation. So this win is a good combination of our core platform, SE and capabilities, and professional services.
Ryan Hicke: And I think what's great as well, Alex, to add some color, you know, one is a pretty meaningfully sized regional and community bank in The US, and the other, would consider to be a large kind of private wealth manager. Both were outsourcers on competitive platforms and really see the overall value, not just in SWP, but as Sean and Sanjay mentioned. Around kind of the broader suite of capabilities for the long term for their strategic growth.
Sanjay Sharma: And, Alan, if I could add another point. One of these out of these two, one of the large client we signed is our second software as a service client. Great point. And that reflects our focus and attention to that strategy as well.
Natalie Nall: Great. Thanks for the additional color.
Operator: Thank you. Please standby for our next question. Our next question comes from the line of Jeff Smith with William Blair. Line is open.
Jeff Smith: Hi, good afternoon. How much were the underlying expenses down from the workforce reductions? It sounds like those changes were made sort of late in the quarter. So just wondering how we should think about kind of the run rate impact by segment going forward?
Sean Denham: Yeah. I will this is Sean. I would say that the, you know, you could think about the decrease, in compensation related to the RIF at a relatively equal amount of compensation increases and raises for the year. So, typically, we'll have you know, you can go back and look kind of at the history but as consistent level of raises starting in January you can kinda think about the reduction in the compensation to, for the most part, match those raises.
Jeff Smith: Okay. So kind of flattish. Okay. And then in the IMS, business, it looks like the margin was around 40% if you adjust for that revenue accrual true-up. And I think you've been guiding to that even, you know, 39% or even less. You've been investing in that business. So I was curious is that just from kind of a strong operating leverage in the quarter? And is 40% sort of the right run rate to think about? Going forward there?
Phil McCabe: Okay. I'll take it, Jeff. We did have that revenue accrual true-up, which was a little bit over $3 million. We also had a couple other one-times for conversion fees and professional services. And some other one-times, probably about $2 million. So that total was about $5 million or so. Without that $5 million, we'd be right in the 5% quarter over quarter growth rate. In addition, it was relatively strong just from converting new business. Sean, is there anything you would add?
Sean Denham: I would add you know, we've alluded to some Q1 opportunities for us that we'll talk about further in April. We are continuing to hire up in anticipation of those. So, you know, if you're thinking about run rate on margins specifically in IMS, we as we said in prior quarters, we are continuing to make investments inside IMS and our other business units and continuing to hire in anticipation specifically in private banking and IMS. So you know, so whether margins continue at that rate, you know, I would expect certain expenses to start hitting a little more in Q1.
Jeff Smith: Okay. Great. Thank you.
Operator: Thank you. Please stand by for our next question. Our next question comes from the line of Conal Schmidt with Morgan Stanley. Your line is open.
Conal Schmidt: Thanks for taking my question. So on Stratos, how should we think about the run rate impact of the acquisition to the Investment Advisors segment once it gets fully consolidated. At the moment, we can only see NCI related to it for a little bit less than a third of a quarter. And then on that topic, when would you expect to have an updated timeline related to, like, the plan resegmentation that we heard about at Investor Day?
Sean Denham: Yeah. So thanks for the question. So we're not gonna give guidance on the run rate into 2026 around Stratos. I can give a little color on Q4. So we had about $5 million in revenue related, which would fit in the adviser segment. We had just about under $1 million of operating income, which included nearly $2 million of amortization expense on the acquired intangibles. That's a 100% share since we consolidate there's about $300,000 of NCI for the 42.5% that we don't own. And, again, we'll have more information in Q1 as we have a full quarter under our belt.
Conal Schmidt: Got it. And then just sticking with Stratos on the go forward strategy, like, during the integration phase, is it still continuing to pursue acquisitions? Are those paused during the integration?
Sean Denham: No. In fact, in early January, we had so part of the strategy was, as you know, acquiring additional entities, providing capital to Stratos to roll them up. So nothing has changed from that plan that we spoke about previously. In early January, Stratos completed the acquiring additional interest in some of the entities. That they had minority interest in. And, there will also be some additional acquisitions that were planned as part of the kind of diligence process and expectation as we acquired them.
Conal Schmidt: Got it. Thank you for taking my question.
Operator: Our next question comes from the line of Patrick O'Shaughnessy with Raymond James. Your line is open.
Patrick O'Shaughnessy: Hi. Good afternoon. Coming back to the topic of those two big nonrecurring sales events and private banks in the quarter, from a modeling perspective, how do we think about the revenue recognition impact of those sales events over the coming quarters?
Ryan Hicke: Just real quick, Patrick. The two wins we were talking about are recurring. So the two firms that Sanjay and I were referencing with some color, they're traditional, you know, recurring revenue SWP wins. The rest were professional services. Some of those extensions from those existing firms and some of those existing clients and non-SWP clients. So just wanna make sure you were clear on that.
Patrick O'Shaughnessy: Gotcha. Appreciate the clarification. Okay. And your question is how up the professional services backlog?
Sanjay Sharma: Yeah. So, you know, $23 million sales event quarter. We think about that hitting in the next two quarters? Is it next eight? Like, is there a general, like, time frame you guys have in mind that that is gonna be realized?
Sanjay Sharma: See, that's not the I like about professional services. That's something we can start realizing immediately. And so these complex projects they run over twelve months, eighteen months, that's how these associated professional services are spread as well. And many of them, they will continue after going live as well.
Patrick O'Shaughnessy: Helpful. Thank you. And then in institutional investors, you mentioned that the negative sales event in the quarter was tied to some UK client losses. Just curious, like how strategically important is The UK market to that business?
Michael Lane: Yeah. The institutional business in The UK is a fraction of the overall OCIO and institutional business. It's important to us, and we're continuing to grow that with the addition of Sanjay taking on the role he has on the international side of the business. So we continue to grow that business, and it's an important part of our business. Some of the movement in that is also where we added additional assets into SEI products within some of those. But the way that we credit those, it doesn't actually show up in revenue. So there's some transaction activity that took place in that, in that setting that end of the business in the institutional space within The UK as well. But, strategically, we do believe that the institutional business is a growth business for us, and we have made quite a few changes, including with Sean's notes on the RIF in December. We made quite a few changes, in terms of the leadership of the institutional business. And we now have put that in the hands of Kevin Matthews who has a long successful track record in that space. And so he, along with the rest of the team, we are working on an improved operating model and strategy, that we are starting today.
Patrick O'Shaughnessy: Very helpful. Thank you.
Operator: Ladies and gentlemen, I'm showing no further questions in the queue. I would now like to turn the call back over to CEO, Ryan Hicke, for closing remarks.
Ryan Hicke: Thank you, and thank you, everybody, for the great questions and your continued engagement with SEI. We're really excited about the path ahead. Look forward to speaking with you again next quarter. And quickly, a little sidebar, Paul Carter is in the room. As many people will know, Paul is a long-time executive of SEI who will be retiring in February after thirty glorious years at the company. Paul, Phil McCabe, and I actually all joined the executive committee about ten years ago today at the same time. Paul has been a great friend, a great leader, but an ambassador to our clients and our employees for the brand of what SEI stands for. So you'll hear some clapping in the room here while we close the call and congratulate Paul.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.